Operator: Greetings and welcome to the Hibbett Sports First Quarter 2021 Earnings Conference Call. During this presentation, all participants are in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. [Operator Instructions]. As a reminder, today’s conference is being recorded on Tuesday, May 26, 2020. It's my pleasure to turn the conference over to Jason Freuchtel, Director of Finance and Investor Relations. Please go ahead, sir.
Jason Freuchtel: Good morning. Thank you for joining Hibbett Sports to review the Company's financial and operating results for the first quarter of fiscal year 2021, which ended on May 2, 2020. Before we begin, I would like to remind everyone that management's comments during this conference call which are not based on historical facts, including those in response to your questions, are forward-looking statements. These statements, which reflect the Company's current views with respect to future events and financial performance, are made in reliance on the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to uncertainties and risks. It should be noted that the Company's future results may differ materially from those anticipated and discussed in the forward-looking statements. Some of the factors that could cause or contribute to such differences have been described in the news release issued this morning, the Company's Annual Report on Form 10-K, and in other filings with the Securities and Exchange Commission. We refer you to those sources for more information. Lastly, I would like to point out that management's remarks during this conference call are based on information and understandings believed accurate as of today's date, May 26, 2020. Because of the time-sensitive nature of this information, it is the policy of Hibbett Sports to limit the archived replay of this conference call webcast to a period of 30 days.  The participants on this call are Mike Longo, President and Chief Executive Officer; Bob Volke, Senior Vice President and Chief Financial Officer; Jared Briskin, Senior Vice President and Chief Merchant; and Ben Knighten, Senior Vice President of Operations. I'd now like to turn the call over to Mike Longo.
Michael E. Longo: Thank you, Jason and good morning everyone. Before we begin, I'd like to start by acknowledging the impact of COVID-19 on our communities. We know that many people are significantly affected by this healthcare crisis and whether that effect is physical or economic our thoughts are with them and we're doing what we can to assist them. At the same time, we want to give our thanks to our employees, whether in the store, the distribution centers, or in the store support center or people have maintained their high level of customer service in this very challenging environment. The team came together, worked through the problems, and delivered what we believe are very good results given the situation.  Our focus for the quarter centered on the results in five key areas safety, stores, sales, inventory and cash. With regard to safety, we have a very sharp focus on customer safety and employee safety. Because of our efforts we have store associates who are happy to return to work and serve our customers and at the same time customers who are happy to shop in our stores as well as on our digital platform. This in turn delivers the results our owners expect. With regard to stores during the quarter our stores were open around 60% of the time. At the end of the quarter we had 690 stores fully open to the public and increasing every day. And as of today, we have over 1,000 doors open to the public.  Now with regard to sales, prior to mid-March we were experiencing accelerating comps in both the stores and online. With the emergence of the virus our sales fell dramatically, though. In reaction, we pivoted to support the digital business by allocating more product and emphasizing our ability to fulfill from our stores. At the same time, we increased our marketing of the digital business. These efforts were rewarded with a 110% growth in e-commerce sales in Q1. And the Q2 sales continued to be strong. At the same time, we continue to operate stores as allowed by state and local authorities. We believe that this was a critical decision that allowed us to maintain employment for a great number of our people. Additionally, we took steps to help our store employees with additional paid time off, guaranteed hours, payment of medical benefits amongst other things. In that connection with our people was important, and it helped them financially and it helped us to maintain contact with them. And our people showed their appreciation for these actions when we reopened stores by showing up and delivering their trademark service to our customers. We've had no issues staffing our stores to service our customers. Combining this with our digital business allowed us to continue to turn through product and manage our inventory.  As you saw in the earnings release, the total sales comp for the quarter was a negative 19%. The brick and mortar comps were a negative 34%. However, at the end of the quarter, those comps turned positive, even though only a portion of the stores were open at that time. And for the total quarter our digital business was up 110% and continues to be strong early in Q2 as I said earlier. With regard to inventory, our inventory position is actually down versus last year, and this was a result of maintaining sales and the intense management of the inventory flow by our merchant team working closely with our vendor partners. Jared will outline some of those actions in greater detail in a moment. And finally, our focus on cash also paid off. During the quarter we used approximately $10 million in cash compared to the end of the year. And to give you a little more detail about cash and some of the other results, I'll be followed by Bob Volke. And as mentioned, Bob is our new Chief Financial Officer. His first day on the job was in the middle of the crisis so he has a pretty unique perspective on how all this played out. Bob, welcome to the team, if you will give everyone a quick bio on yourself before you begin.
Robert J. Volke: Thanks, Mike and good morning everyone. As a new member of the Hibbett Sports management team, here's a little bit on my background. After graduating from Indiana University with an accounting degree, I joined the public accounting firm of Arthur Andersen in Milwaukee, Wisconsin. I then held various accounting management roles over 15 plus year period in the manufacturing, technology, and publishing industries. I've spent the last 13 years in positions of increasing leadership responsibility within the retail sector, including 11 years at Tractor Supply, a Fortune 500 company in Nashville, Tennessee where I rose to the level of Vice President and Controller and most recently at Fleet Farm in Appleton, Wisconsin, a private equity backed retailer where I was the Corporate Controller and then Interim Chief Financial Officer. My first six weeks here at Hibbett have certainly been interesting, but I've been impressed by the way this organization has responded to the challenges presented by the COVID-19 pandemic and I'm even more excited about the future of the organization.  Now, we'll turn our attention to the first quarter results. As a reminder, we treat City Gear as an extension of the Hibbett business and the results will be reported on a combined basis. Also, City Gear is included in our consolidated comp sales figures as we now have owned the City Gear business for more than one year. For the first quarter, total net sales declined 21.4% to 269.8 million, and overall comp sales declined 19.5% compared to last year's first quarter increase of 5.1% despite the fact that our store population only operate for about 60% of the available days during the quarter. While the closure to varying degrees of our retail locations during March and April had a significant negative impact on our comparable sales during the first quarter, we experienced an acceleration of sales toward the end of April that has continued into May. This acceleration coincides with the reopening of our stores and we've seen very strong comp sales results during this period.  We also continued to fulfill e-commerce orders where allowed by our landlords and local municipalities. As a result, we had e-commerce sales growth of 110.5% compared to last year. E-commerce sales represented just over 22% of total net sales during the first quarter. Our GAAP gross margin declined approximately 700 basis points compared to the prior year, primarily attributable to the larger representation of lower margin e-commerce sales during the quarter. The gross margin was also impacted by a $5.1 million increase in our lower of cost or market inventory reserve as a percentage of the aged inventory increased due to the COVID-19 related store closures. Excluding this charge, adjusted non-GAAP gross margin decreased approximately 540 basis points from the prior year’s first quarter.  SG&A expenses plus goodwill impairment represented 33.1% of net sales in the first quarter. This increase of 1154 basis points was primarily due to the non-cash impairments of the City Gear trade name in the amount of 8.9 million and goodwill in the amount of 19.7 million. These two items were partially offset by reduction of $11 million in the second year earn out liability related to the City Gear acquisition. I want to be clear that these adjustments were triggered by a significant market value decrease and the business performance uncertainty in mid-April. These adjustments are based on financial projections made at that point in time. Although the adjustments to trade name and goodwill are not subject to reversal in future periods, the projected earn out liability for the second year of the City Gear deal is dependent on future projections of City Gear’s EBITDA achievement as defined in the purchase agreement.  Excluding non-GAAP items adjusted SG&A as a% of sales increased approximately 280 basis points over the prior year. This increase resulted mainly from incremental e-commerce expenses as we drove more customers through our website during the second half of the quarter. Depreciation and amortization declined approximately $350,000 due to the store closures in fiscal 2020 as part of the company's strategic alignment plan. The income tax rate for the quarter was 31.2% compared to last year's rate of 25.3%. On a GAAP basis Hibbett generated a $22.1 million operating loss, which compares to last year's operating income of 37.3 million. Excluding all non-GAAP adjustments for the quarter adjusted operating income was 7.8 million or 2.9% of sales. GAAP loss per share was $0.92, excluding the impact of the non-GAAP items, adjusted diluted earnings per share was $0.31.  Let's turn to the balance sheet, the company ended the quarter with $106.2 million in cash versus 66.1 million at the end of fiscal 2020 and 117 million at the end of our fiscal first quarter a year ago. As detailed in our recent 10-K, we borrowed 50 million in March under our unsecured credit facilities with Regents Bank and Bank of America as a precautionary measure to increase our cash position and preserve financial flexibility. We continue to have $50 million outstanding under our new secured credit facility with Regents Bank that has a maturity date of April 19, 2021. To reiterate a comment Mike made earlier, our net cash burn during the quarter net of the debt previously discussed was about $10 million. This 10 million breaks down into a positive cash flow from operations of 3.9 million, offset by capital expenditures and share repurchases that I will discuss in a minute. Our cash position was further protected during the quarter by a willingness of our vendor partners, both merchandized and non-merchandized, to provide us with either extended payment terms or installment payment options. As of this week, we are once again substantially current with amounts owed to our merchandized and non-merchandized vendors.  With the cash we have on hand today, a majority of our stores open to the public, an increased momentum in sales over the past month we feel our current liquidity position is strong. Inventory declined 2.6% from last year's fiscal first quarter. We were able to manage our inventory well during this difficult environment as our aged inventory, defined as more than six months past the date of receipt, was 21.9% at the end of the quarter. This is up from 16.8% at the end of the fourth quarter of fiscal 2020 and compares to 20.5% in the same quarter one year ago. We spent 4.1 million on capital expenditures during the first quarter as we focused on our most important capital needs. This included opening three new stores, rebranding two Hibbett stores, to City Gear and moving forward with other impactful IT and operational initiatives. The company purchased approximately 428,000 shares for a total of $9.7 million during the first period of the quarter under our share repurchase program. All shares were purchased under a 10b51 plan that was approved prior to the COVID-19 pandemic. We have just over 143 million of remaining authorization through January 29, 2022 for future share repurchases at management's discretion. I'll now turn the call over to Jared for a review of merchandising. 
Jared S. Briskin: Thank you Bob and welcome to the team. We're very confident that our plan for the first quarter, as many of our initiatives were in flight showing positive results prior to mid-March and the effects of COVID-19. In apparel our momentum was strong as the team's intense focus on sharpening the connectivity in our apparel assortment to sneakers, was resonating. Men's apparel was having significant growth and we saw a return to growth in women's and kid's apparel at the time. Seasonal apparel was well under control and carryover was limited. In accessories a renewed selling focus, combined with vendor funded spiffs [ph] and contests, were driving the category to positive results. Our strategy change in licensed products, divesting from fan base merchandize and investing in connectivity to our sneaker business was showing significant acceleration.  Footwear results were positive across all genders and we were excited to capitalize on the strong calendar for the balance of the year. Women's footwear was a key investment area for us and was performing exceptionally well. In mid-March, we had to pivot due to the COVID-19 virus. Our response to COVID was based on three phases; crisis, recovery, and the new normal. Our vendor partners were incredible collaborating with us on our approach to our three phase plan. This collaboration and partnership occurred daily, in many cases hourly. The support we received from our vendor partners is a testament to the trust that they had in us and in our business model. We are beyond grateful. With regard to the crisis phase, in collaboration with our partners, we limited incoming deliveries, reduced the future order book, reflowed the future order book, and extended payment terms. Our merchandize teams intense focus on inventory management allowed us to exit the crisis phase with inventory below prior year levels and with age levels under control. I'm beyond proud of our team for their relentless effort and execution during this time.  With regard to recovery, we're seeing strong acceleration of the trends we were seeing pre-COVID. We have been able to increase the flow of new receipts to capitalize on the current business, and we're working closely with our vendor partners to collaborate on future forecasts and buys. With regard to the new normal, while current sales are robust, we know that the new normal will be difficult to project. Understanding that new normal will take some time we plan to manage our inventory with intense scrutiny. Specific to the second quarter we expect additional volatility regarding tax free holidays and the back to school season. I will now turn the call back over to Mike for some additional comments.
Michael E. Longo: Thank you, Jared. I'm going to wrap up our prepared comments with just a few more points about what makes Hibbett Sports different and why we're able to produce these results. A number of factors make our business model more resilient than most other retailers. First of all, we have high demand categories to capitalize on current consumer trends, most notably fashion athletic apparel that directly hooks and connects with apparel. Our store base and locations provide us some built-in advantages as well. And of those factors, probably at the top of the list as we have a limited exposure to malls. At the same time, excuse me, we're a small box retailer, which means we just have fewer people in a store at any given time. Furthermore, a limited exposure to the largest metropolitan areas in the country, which, as you know, has been the hardest hit in the last few months and we expect that those factors mean less risk to both our consumers and our employees.  Another advantage we have is our best in class digital platform that's producing fantastic results. As you've heard us say before, we believe that no one has a digital platform that compares to Hibbett’s. And as important as the platform is, it is more important that it seamlessly integrates with our nearly 1100 stores in 35 states. This allows us to provide bulbous, robust, buy online ship to store, and in many cases same day delivery access to our consumers across the country. And I'd like to brag about my team for just a moment. Within six hours of making the decision to implement curbside pickup, we had a solution in place and the stores were executing the program under Ben's leadership. And finally, operationally, we stayed in business throughout this crisis. To remind you, we remained open in every community where it was deemed prudent by local government. That, along with our emphasis on fulfilling online orders in the stores gave us a non-stop connection with our employees and our customers. And we're seeing the clear advantage of that decision now.  So in conclusion, we're being rewarded for these efforts when we reopen stores, we are fully staffed, the consumers are excited to shop in our stores, and the sales are very robust. The digital business continues to comp up significantly as we take and keep share. And our inventory is in a good spot and our cash position is nearly back to levels equivalent to the end of the year. So operator, we are now ready for questions.
Operator: Thank you, sir. [Operator Instructions]. Our first question comes from the line of Peter Benedict with Baird. Please proceed.
Peter Benedict: Oh hey guys, thanks for taking the question. I guess first, just wondering if you'd be willing to give any more detail on maybe how the months progressed in 1Q from a comp perspective and color on kind of digital versus stores and then certainly just where we are May to date, understanding you guys aren’t going to give any guidance to go forward, but just any more color on just how robust kind of May is running? That would be my first question and I'll ask a follow.
Jared S. Briskin: Yeah, Peter its Jared. Good morning, without a lot of details I think our commentary is pretty clear. Through mid-March we were on a nice run and felt really strong about our business. Then certainly the virus hit which obviously negatively affected sales. From a brick and mortar perspective we did see the significant ramp on e-commerce and then as we got to latter parts of April things started to really move forward in a fast direction. Without giving any specifics around May, the word we've used a few times sales are robust. I think where we're being cautious is we don't know how long that this will last. We feel great about where we are today, we're going to do everything possible to capitalize on it, but we do have some things as we've progressed through the quarter that we are pausing for some concern.
Peter Benedict: Okay, thanks Jared. I guess my next question or my follow-up would be with respect to the customer database, you mentioned that 40% of your I guess e-commerce customers in the first quarter were new to the database. Can you remind us maybe how you're measuring that, I guess your rewards program, how many members you've got, how fast that's been growing, what percentage of sales, and just curious how that 40% knew in the first quarter compared to maybe what you saw across 2019?
Jared S. Briskin: Yeah, I think we've been -- obviously we have been picking up new customers throughout 2019 and certainly since our introduction of e-commerce, we've certainly picked up new customers, both from an e-commerce perspective. Then our integration to the stores have allowed us to also pick up new customers at the stores. The increase that we saw during the quarter was very significant. I think it was attributable to a few things; first of all, the e-commerce team has specifically looked at the opportunity and executed towards it. We did not reduce our marketing spend, which allowed us to continue to communicate to customers. And then we had some flow in inventory that we continue to look at and made available for sale from an e-commerce perspective. The vast majority of our stores were able to pick, pack and ship. So the improvements we've made from an e-commerce perspective allowed us to have more inventory available to sell, a lot of it was high demand products and allowed us to capitalize on new customers. 
Peter Benedict: Okay, that's helpful. Do you have a number for how many MVP rewards members you have out, maybe what percentage of sales it represent for you guys? 
Jared S. Briskin: Yeah, the percent of sales is in the mid-60s. So, we're definitely seeing some nice growth.
Peter Benedict: Okay, alright, thanks guys. 
Michael E. Longo: Thank you. 
Operator: Thank you for your question. Continuing on our next question comes from the line of Sam Poser with Susquehanna. Please proceed with your question.
Samuel Poser: Good morning, everybody. Thank you for taking my questions. I have a list, and I will just ask them all together. One, how much do you believe that maybe some of the current trends may be being impacted by the stimulus checks? Number two, how should we think, given the stores are now all reopened, how should we think about SG&A in the second quarter, I understand you're not guiding, but little help there would help? And then what is sort of an optimum amount of aged inventory that you would, sort of a longer-term target of aged inventory down the road? Thanks.
Michael E. Longo: Thank you, Sam. This is Mike. I'll handle the first one of those stimulus checks and other things to include unemployment compensation, etc. are for sure impacting the consumers. There is some pent up demand as well. There are some changes to the competitive landscape, some of which are temporary, some of which will be permanent or semi-permanent. And so it's hard to dissect of those which is which and which is most important. That's why we're being very careful to use terms like robust instead of giving actual numbers. The May is, as we said, we're experiencing a very good result with those stores opening, which will then lead into your next part of the question. So now that we have substantially all the stores open, what will Q2 look like? I think I'll just lean on what Jared referred to earlier and the reason that we're not being terribly specific is just because the timing of back to school is going to change. And, historically in this southern half of the United States, it was an earlier go back to school and the Northern half later we may see that change. But no one's ready to handicap that just yet. And then, Jared, I think there was a question about aged inventory. 
Jared S. Briskin: Yeah, I think I will [Multiple Speakers]. Yeah go ahead Sam.
Samuel Poser: No, the question I asked regarding now that the stores are open was about the SG&A and really about sort of more a technical SG&A, not about marketing, but more about now everybody's back, you're paying more wages, you are paying more electric bills and things like that now that you've reopened all the stores, so sort of how does the - so what's the base case for SG&A which would be higher automatically in the second quarter as a rate that you weigh in dollars…? 
Michael E. Longo: Sorry, I fumbled that answer. Thank you for reminding me. So SG&A in Q2 should revert back to what we would expect will be closer to normal and that's got a huge caveat with it, which is what is normal going to be. SG&A will be impacted. In Q1 I think we disclosed that about almost 100 basis points of the leverage or deleveraging of SG&A came from onetime payments to employees that we don't expect to recur. In other words, that was the PTO and guaranteed hours and such that I referred to earlier. That won't be there going forward. We haven't seen the need to significantly increase wage, we certainly did some wage increases in the distribution centers as normal in due course. Those are more competitive and less anything to do with the virus. I know that we've done some things back to the stores. We did some things on guaranteeing a handful -- the bonuses for the store managers in the short term. But again, that will revert back to normal. And Bob, you've got some additional comments, I'm sure. 
Robert J. Volke: Yeah Sam, this is Bob. I guess the one thing that kind of pointed out in my prepared remarks is we had to take a snapshot in mid-April of where our business was, and obviously that was one of the periods of time when things were pretty uncertain. So we did ultimately reverse some earn out liability related to the City Gear purchase. But as we've seen our business start to bounce back and get a little bit stronger, that piece of our expense may start to fluctuate or be a little bit more variable going into the back two to three quarters of the year. We may have to reinstate some of that liability, which will impact our SG&A run rate. But again, that's a good thing because if the business is doing well, then obviously we would want to reward the former owners of the business for that. So I think it's kind of a win-win. You know, we'll be gladly raising that liability if the business supports that payout. 
Samuel Poser: Before we go to the optimum age inventory question, just to follow-up there, will the -- what kind of comp do you think you're going to need in second quarter to leverage the SG&A, I mean, how about that just what would you need to see leverage in this [Multiple Speakers]? 
Michael E. Longo: Yeah, we are in the middle of the quarter as in three weeks into it. So we'll take it as it comes. 
Samuel Poser: No, no, no, I'm not asking you how business is, I'm saying do you need to run a five comp to lever SG&A or do you think you could lever on a -- I know there's a mix issue to e-commerce, but I mean, just what would it take to expect to see SG&A leverage? You know, given what you know today, I'm not asking you what you're running or anything, I'm just saying do you need to run a fight, you need to run 2, do you need to run 10, what’s the level?
Michael E. Longo: It would be a very, very small comp to get some leverage. 
Robert J. Volke: Sam, I don't think with a lot of things that have been changing and we're still dealing with a lot of uncertainty, not that we feel that there's a lot of unique or incremental cost to the business that we are doing some things we certainly wouldn't have done in the past as far as safety and sanitation, things like that. But again, I think we're in pretty good shape as far as our costs to store sports center relatively fixed. We will see some increases you touched on the stores open more hours. There will be some upticks in some of those occupancy related type costs. But I agree with Mike, I don't think we have to have a high hurdle rate. But to be very honest, I don't think we know exactly what that number is right now until we start to get a better run rate for the new normal. Thank you, Jared. 
Jared S. Briskin: Yes Sam, I will chime in on the optimal age. So obviously, we've been reducing our age pretty consistently for the last few years. We are able to get to the upper end of things that we can operate in the mid to high teens. We feel like that's an acceptable model for us. 
Samuel Poser: And it was just thrown a little bit off in Q1 because of the crisis? 
Jared S. Briskin: Yeah. And everything blows by quarter, obviously, depending on which buckets of inventory you move into that six month or older. So it was a little more than a percentage point above last year. But also keep in mind that the inventory did not grow, the inventory was down. So that's going to raise the percentage a little bit. I mean, overall, we feel like we have it under control. We're certainly scrutinizing everything right now with regard to inventory and are paying very, very close attention to age forecasts. But we feel like we haven't managed appropriately. 
Samuel Poser: Thank you very much. 
Michael E. Longo: Thank you. 
Operator: Thank you sir for your question. Our next question comes from the line of Alex Perry with Bank of America. Please proceed with your question. 
Alex Perry: Hi, thanks for taking my question and I hope everyone is well. Just first for the stores that were closed and then reopened, can you talk through the traffic trends you're seeing there with some of the robust commentary like are you seeing positive customer traffic in those stores?
Michael E. Longo: This is Mike. Yes, we are seeing positive traffic and on both the online site and in the stores that are reopened. We see no trepidation on the part of consumers. No trepidation on the part of our employees. And again, that just harks back to the fact that people are doing what they're supposed to do. They're using their common sense and we're running safe stores in accordance with the CDC guidelines. 
Alex Perry: Great, that's really helpful. And then just my second one is, can you help me parse out the e-commerce growth in the quarter a bit more like how much of that was helped by the curbside pickup initiative and then, your recent corona initiatives and then incremental digital investments, can you talk through exactly what you're doing there to drive traffic? And then I think you had a quote that over 40% of the digital sales in the second half of the quarter were new customers, can you talk about what exactly is driving the new customer acquisition? 
Michael E. Longo: Sure. So this again is Mike. So to recast what we said, digital traffic is up 80%, conversion is up 26%. These are all Q1 numbers and those are all compared to prior year. 40% of the sales in the second half of the quarter, which I think is the relevant comparison, because that's when the change occurred, the inflection point occurred, 40% of those customers are new. And we can track that through various means. And so why? Well, some of that certainly is just the landscape change. There were plenty of people who wanted to shop online who were not able to shop in brick and mortar. So we saw some increased traffic from that, just like the majority of retail. If you have a good website, you probably saw some increased traffic. And we also at the same time put our foot on the gas with regards to digital advertising, other competitors did not. And so we thought that that was a bit of a difference maker. And for whatever reason, that's what they did. We decided to invest in the business. As you pointed out, Klarna, our customer credit facility is very successful. We're very pleased with that, and it is having an impact. So, I could go on but there are lots of factors involved as to why the digital business has picked up. And we believe that a lot of as we said, 40% of those customers are new. So therefore, we're taking share and we believe that we like our odds to keep that share. 
Alex Perry: Great, that’s really helpful, thank you. 
Operator: Thank you. [Operator Instructions]. We now have a follow-up question from the line of Sam Poser with Susquehanna. Please proceed with your question.
Samuel Poser: Hello, I've got three more. One, are you -- can you talk about cash versus credit in the stores, are you taking cash, are you handling that through separate registers, through your safety policies and so on I know you have a large cash, you have a customer? Number two, in working with the major brands as far as product allocations go going forward and Jared, maybe some shifts of how some of the major guys are shifting some of their launches? And three, have you gotten rent concessions from your landlords, are you paying I mean, how are you, I guess how was the rent payments working out and/or is everything current there, can you give us some color on sort of the leases and status there?
Michael E. Longo: Ben, why don’t you take the cash question and store. 
Benjamin A. Knighten: Yes, Sam this is Ben Knighten. Real quick, obviously, we run a pretty heavy cash business. Our consumers obviously expect the ability of paying cash and we continue to take cash out. We have introduced a couple of things, though, to -- during the virus obviously helped keep our -- both our team members and our customers safe. That included essentially going to touchless pay with Apple and Google. So we have implemented that ability now in stores. We also turned on the ability with a chip embedded credit transaction not to require a signature. So we're doing things like that just trying to mitigate obviously any risk. 
Samuel Poser: Thank you.  [Multiple Speakers] 
Jared S. Briskin: Ben, I can comment on launches. I mean, I think, as you know, I mean, the launch calendar was fluid prior to this with a lot of movement anyway. So certainly there have been some shifts. I mean, our visibility -- in the plan, we were very, very confident that do we believe there'll be some shifts? Yes. And those are things again, it's not abnormal to see shifts in the launch calendar. But what we know today, again, we feel very confident. But we'll manage the shifts as we as we get the information. 
Robert J. Volke: Okay, this is Bob, I'll take the third question on rent. So obviously, the timing of this situation hit mid to late March. We paid most of our rent for the month of April. We did hold back a little bit and we continue to work with landlords where there are situations either through the force majeure or co-tenancy provisions within our leases. Obviously, the month of April was -- there were more stores shut down for longer periods of time during that month. So, we were also holding back some rent for the month of May as we continue to work with the landlords. I am leaning heavily on obviously my legal partners to work through the channels with our landlords trying to do all this in a very amicable, a very open basis. But yes, we do have approximately $4 million worth of rent between the months of April and now May that have not yet been paid, but have been recorded through the P&L as expenses.
Samuel Poser: Thank you. And if I can just follow-up on one thing regarding the allocations and so on. Jared, with the major launches, do -- are the big guys willing to support the e-commerce site at a larger rate now or I mean, one of the things that I felt was that the if you have a big launch and you end up putting a lot more online, that could make it look overloaded rather than spreading it through the stores. So given that there's been so much more attention to digital are the big - are Nike and Adidas, I guess, changing the way they think about allocating product to you based on where it's going to sell? 
Jared S. Briskin: I think, Sam we're all -- I think we're all trying to figure out what the new normal is at this point. You know, certainly we're still executing boxes at our stores and have a significant, sufficiently detailed plan around how we do that. So I think that there's still plenty of opportunity, I think, to be initially in the crisis. Certainly, we did pivot to more digital and again, in collaboration with our vendors. I think we all have a lot to learn right now with regard to ensuring that we can keep people safe and then we can execute launches appropriately. But there has not been a conversation that we've had with specifics around can or can't do. It's all a collaborative effort as we go forward and learn.
Samuel Poser: I guess meant that if all of a sudden you're doing 30% of your business online, do you think that that will -- will that change the way the product gets out, do you think it would change the quantity? I'm not talking about just demand, not the way you're managing the stores ability to do it. I'm just saying, if more people become comfortable shopping online do you foresee that you'll be able to keep the same kind of allocations?
Michael E. Longo: I think it is a twofold question. I mean, obviously we could see customers being more comfortable online. But we also know that, our launch customer has a store to look, they want to wear it on the day of the launch and they want to show it off, which obviously that's not something that you can do with regard to online at this point. So again Sam, I think we have to continue to mine information that we're getting from customers, collaborate with the vendors, and try and remain as balanced as we can to be able to give consumers what they want. We've seen -- from a launch perspective, we've seen the execution of digital with significant pair that was flawless. And we've seen execution at the store level with significant pairs that we felt was pretty flawless. So I think at this point, we just have to learn what that's going to look like from a go-forward perspective. 
Samuel Poser: Thank you so much. Appreciate it. 
Jared S. Briskin: Thank you. 
Operator: Thank you. We'll now turn the conference back to Mr. Longo. Thank you, sir.
Michael E. Longo: Well, thank you very much. We appreciate everyone attending today. We know your time's valuable and we always enjoy speaking to our business and about it. And since there are no further questions, we'll conclude the meeting. And thank you again. 
Operator: Thank you, sir. And that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect your line. Thank you very much. And have a great day, everyone.